Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to Synaptics fourth quarter and fiscal year 2013 earnings conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation the conference will be opened for questions. (Operator Instructions) This conference is being recorded today, August 1, 2013. I would now like to turn the conference over to Mr. Alex Wellins of the Blueshirt Group. Please go ahead sir.
Alex Wellins: Good afternoon and thank you for joining us today on Synaptics’ fourth quarter and fiscal 2013 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the Company’s website at synaptics.com. With me on today’s call are Rick Bergman, the company's President and CEO, and Kathy Bayless, CFO. In addition to the Company’s GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation charges and certain non-cash or non-recurring items. Please refer to the press release issued after the market closed today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we'd like to remind you that during the course of this conference call, Synaptics will make forward-looking statements, including predictions and estimates that involve a number of risks and uncertainties, including, but not limited to, statements regarding the Company’s future financial performance and outlook, including financial guidance for the first quarter of fiscal 2014 and anticipated revenue mix from mobile and PC products, the company is positioning as a technology leader in touch. Company’s positioning in the smartphone market as well as the broader touch screen market to drive sustainable growth, Synaptics strong position within emerging markets such as China. Company’s expectation in the traditional display, integrated solutions including on-sell and in-sell implementation will begin to take a more pivotal role in fiscal 2014. The company’s anticipated revenue growth from tablet and large touch screen products and the company’s confidence in achieving another year of strong annual topline growth. Actual results may differ materially from any future performance suggested in the Company’s forward-looking statements today. We refer you to the Company’s SEC filings, including Form10-K for the fiscal year ended June 30, 2012, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. We expressly disclaim any obligation to update the forward-looking information. With that said, I'll turn the call over to Rick Bergman. Rick?
Rick Bergman: Thanks, Alex and I'd like to welcome everyone to today’s call. At this time, last year we laid out our vision for a return to annual revenue growth in fiscal 2013 with a primary goal among other initiative to capture share at key mobile OEM partners. At the time, we characterize our expected growth as modest and as you can see from our results, our execution was nothing short of stellar as we successfully expanded our footprint as leading mobile customers including many of the world’s best selling phones and tablets. Revenue for the year was a record $664 million, up 21% from the prior year, the revenue mix from mobile and PC products was 64% and 36% respectively reflecting a transition towards a faster growing market primarily driven by mobile phones, touch screen applications. This mix ship contributed to a non-GAAP gross margin for the year of 49.2%, up 240 basis points from the prior year supporting a 27.3% increase in gross margin value. And providing additional operating leverage to our business model. Non-GAAP net income was a record, $106 million or $3.11 per share up 35% from the $79 million or $2.28 per share in prior year. Our record results reflect our ongoing investments in our product and technology roadmap as well as our unmatched design resources and support on a global scale. Results is a broadest product portfolio in the industry, and our ability to deliver innovative features and functionality that continue to lead the design wins, within flagship devices at top OEMs. It's quite remarkable that we were able to win a full stable of flagship phones and tablets while simultaneously developing a next generation solution for this year’s most talked about smartphone. This is an extension of our track record of developing unique capabilities with each customer, expanding user interface possibilities with our growing list of industry first, including, glove support, Proximity, [Finger Hover] and air swipe functionality. Synaptics also answers a growing demand for multiple input options with support for simultaneous pen and finger touch recognition, passive pen tracking and high performance with the stylus as small as 2 millimeter, all of which deliver seamless multi-touch performance. A case point is our growing share within Samsung as we have shown that our groundbreaking On-Cell touch screen solution featured in the Galaxy S4, Synaptics has expanded its technology leadership with the next generation of display integrated solutions. Our product portfolio continuous to exceed the demanding requirements of Samsung with additional custom designs now shipping in the Galaxy mega and Galaxy S4 active smartphones as well as the Note 8 and Tab II tablets. Additionally recent smartphone launches include the Nokia Lumia 925 and 1020 leveraging our newest generation ClearPad [3402] as well as several phones incorporating Synaptics In-Cell solutions. In addition to Huawei Ascend P2 phone mentioned in last quarter, Huawei has released P6 the second generation Intel phone. Pantech launched its Vega Iron phone while OPPO began shipping the 809T, all leveraging at ClearPad 3250, in-cell offering. We see increasing activity for both On-cell an In-Cell solutions in fiscal '14, by engaging with multiple LCD manufactures, we are expanding our ability to target top tier second tier and emerging market opportunity based on our broad product portfolio. The china market remains a key area of growth for us and the percentage of mobile revenue from domestic Chinese vendors continuous to [edge up]. With our primary focused and design center investments are geared towards working with the leading OEMs, we are very well represented within the second tier in the market. At the same time our leading edge technology such as our Single Layer On-Cell multi-touch offering is enabling us to address the entry-level market. Most recently with our first design win for this solution in the Yulong [8908]. On the tablet front, we are building on our success in the Sony Xperia family of phones with the inclusion of our LTS solution in the Android driven Sony Xperia tablet Z. This product features in ultrathin, water and dust resistant, 10.1 inch display. Tablet devices continue to be a burgeoning market for us across the global customer base with our solution shipping in the Samsung devices, the Acer Iconia W3 and Lenovo Miix 10. Our design pipeline remains very robust and we expect to announce additional flagship design wins across a growing customer base over the coming months. During the fiscal fourth quarter, we also launched our ClearPad S7500 solution for large touchscreens up to 15.6 inches. While capacitive touch has become the de facto human interface for small form factors like smartphones and tablets, it's been a slower integrations into notebook, due to design challenges and high cost within the industry. With the introduction of this single ASIC offering, we are making a simple and cost-effective for OEMs to adopt large touchscreens for a range of new computing devices. This solution also leverages our active stylus technology, which provide touchscreen base products with active sense functionality with no incremental cost beyond that of a standard touchscreen. This feature is an economical alternative to legacy solutions that requires separate sensor and has been of particular interest to OEMs. We expect the first product incorporating ClearPad S7500 to launch in Calendar Q4. Our design pipeline for touchscreens within notebooks is growing nicely and we made our initial foray into this market during fiscal Q4 in the Lenova, Idea Pad, Z 400 touch notebook which features a Synaptics TouchPad as well as our 14.1 inch ClearPad touchscreen solution. The Z400 remained PC Magazine’s Editor’s Choice for entry level desktop replacement laptop. As we entered the new fiscal year, Synaptics remains extremely well positioned as the technology leader in Touch. Looking at current snapshot of our markets, the outlook for notebook PCs remain less than ideal are the industry continues to anticipate a flat-to-down trajectory near-term. While Synaptics is now much less dependent on this market for growth, we do believe we are starting to see a pause in the industry as cost points for touch base ultrabook continue to come down. We have maintained our dominant share with our touchpad oriented solutions featured in seven of the top 10 ultrabooks and we continue to engage in a consistent stream of design activity with leading PC OEMs. In addition to our ClickPad solutions, our ability to expand our market opportunity and footprint within notebooks and peripherals continues with the development of our ForcePad and ThinTouch solutions. Despite the downturn in the market, we have continued to invest in innovation leading to a strong level of design activity and continue to expect initial revenue from these offers in conjunction with the next major PC cycle in calendar ’14. The smartphone market continues to be a huge opportunity with total units of over $1 billion and a unit growth forecast in excess of 20% over the next several years. Synaptics remained extremely well positioned to capitalize on this segment as well as the broader touchscreen market with the right technology and the right engine to drive sustainable growth. First, we expect to continue our leadership with a commanding share in the premium smartphone market and to continue to benefit from the expansion of our customer base. Second, we expect to expand our strong position within emerging markets such as China. We believe our display integrated solutions such as On-Cell and In-Cell implementations will begin to take a more pivotal role in fiscal ‘14 in targeting the full spectrum of the mobile market from value to high end smartphones. And third, we expect additional greenfield opportunities to begin contributing to our topline in a meaningful way, including continued traction within tablets and growing revenue within large touchscreen through touch-enabled notebooks. Our leading share with top tier mobile design wins and the resulting increase in revenue mix from mobile product has made forecasting more difficult. This is especially true given the significant volumes, quick ramp in relatively short product life cycle of these devices. Given the technology advantages that I described in today’s call, we believe we continue to have a very long runway ahead of us in mobile. As we look ahead to fiscal 2014, the decline in PC market will continue to impact our overall growth rate but overall we feel confident we're going to achieve another year of very strong, annual topline growth at a level that is similar to our growth rate in fiscal ‘13. Ultimately, Synaptics continues to innovate and lead in our markets based on the depth and breadth of our technology and the scale require to seamlessly deliver differentiated solutions to our growing customer base. While our markets are dynamic, we believe that as a technology leader, we're building a sustainable competitive advantage in touch and that we will continue to win in the marketplace and deliver strong profitable growth. As we close out the year, I would like to thank our dedicated employees around the world who have made fiscal ‘13 a phenomenal success. We look forward to seeing many of our analysts and investors at our upcoming Analyst Day and Investor Day on Thursday, August 8, where we will provide more details regarding human interface trends in our leading position in our markets. With that, I'll turn it over to Kathy for a review of our financial results.
Kathy Bayless: Thanks, Rick. We are extremely pleased with our June quarter results. As revenue of $230 million was at the high-end of our upwardly revised guidance range and represents a second sequential quarter of record revenue. June quarter revenue increased substantially at 67% year-over-year and 41% sequentially. Revenue mix from mobile and PC products was approximately 75% and 25% respectively in the June quarter. Revenue from mobile product was better than anticipated, up 186% year-over-year and up 66% from the March quarter, consisting predominantly of revenue from mobile phone applications with strong demand across a broad base of customers. We achieved strong mobile phone revenue and unit growth over both comparable period and tablets continues to provide a solid contribution. Revenue from PC application was down 26% from the prior year and 3% sequentially, below our original expectations. With a continuing soft notebook markets, we did not see the historical strong selling volumes in the June quarter ahead back to full. Synaptics continues to lead the market for notebook, touchpads and clickpads and design activities continues to be very strong. Non-GAAP gross margin was up 60 basis points sequentially at 50.1% and up 390 basis points year-over-year. The gross margin percentage shifted above the high end of our original guidance range as mobile product were a higher portion of the overall product mix than previously anticipated. Non-GAAP operating expenses were $55.1 million up $6.2 million from prior quarter, the increase was primarily related to additional headcount to support our expanding product portfolio and customer base including go-to-market and chip design investments as well as increased variable compensations related to the better than expected financial performance for the fiscal year. GAAP operating expenses were $61.4 million including $7.3 million of share based compensation in the June quarter. The $1.6 million gain on the sale of our former headquarters building as well as the non-cash charge of approximately $500,000 for intangible amortization and change to contingent consideration. We completed the sales of our former headquarters building in April and received proceeds of approximately $12.6 million, while the gain is included in our GAAP operating income, it is then excluded from our non-GAAP results as a non-recurring item. The strong sequential increase in revenue and gross margin dollars in the June quarter drove an 86% increase in non-GAAP operating profit dollars, and increased operating margins of 26.2% from 19.8% last quarter. The non-GAAP tax rate was 19% in the June quarter compared with 17.1% in the March quarter primarily reflecting our geographic profit mix. Our GAAP tax rate was 16.4%. Fourth quarter non-GAAP net income was $48.9 million or $1.39 per diluted share representing both record net income and net income per share. Turning to the balance sheet, we ended the fiscal year with $365 million of cash. Cash flow from operations for the year was very strong at $102.2 million and we used $46.3 million to repurchase 1.6 million shares of our stock, including roughly 359,000 shares at an average price of approximately $42 during the June quarter. This brings total report purchases for the year to approximately 5% of our shares outstanding. And I'm pleased to report that our board of directors has also increased and extended the authorization for stock repurchases by $100 million, for a total current authorization of $160 million through October of 2015. Employee participation in our equity incentive programs provided net cash of $32.7 million for the year. Capital expenditures for the year were $48.5 million including the cost in renovation of our new headquarters campus in San Jose, California which we moved into in late June. Depreciation was $9.8 million for the year. Receivables at the end of June were $148.5 million, reflecting 58 days of sales outstanding. Inventories at the end of June were $49.9 million and inventory returns remained at $9 million. Now I will make a few comments regarding our quarterly outlook. Looking ahead to the September quarter, we're coming of an exceptional period of outstanding performance for mobile revenue, which reflected a deep initial ramp of several new product launches across our mobile customer base. We're also mindful that calendar Q3 tends to be a back-end loaded quarter. Based on our backlog of approximately $96 million entering the quarter, customer forecast and expected product mix, we anticipate revenue will be in the range of $210 million to $225 million. We expect the revenue mix from mobile and PC products to be similar to the preceding quarters. Taking into account our overall revenue mix, we expect non-GAAP gross margin for the September quarter to be in the range of 49% to 50%. We expect non-GAAP operating expenses in the September quarter to be similar to June primarily due to ongoing investment in engineering and NCL customer support as we continue to expand our product portfolio and customer base, partially offset by lower variable concentration accruals. We anticipate the FAS 123R charge in the first quarter will be in the range of $7.6 million to $7.9 million. GAAP expenses will also include a non-cash charge of approximately $500,000 related to intangible amortization and change to contingent considerations. We anticipate the non-GAAP cash-based tax rate for the September quarter and for the year to be in the range of 17% to 19%. Non-GAAP net income for diluted share for the September quarter is anticipated to be in the range of $1.15 to $1.30 per share. In closing, we are extremely pleased with our record financial performance in fiscal 2013 and our outlook for continued strong revenue growth and financial performance in fiscal ’14. We believe we are very well positioned to continue to capitalize on the opportunities in front of us as the number one human interface company. With that, we will turn the call over to the operator to start the Q&A. Operator?
Operator: (Operator Instructions). Our first question is from the line of Anthony Stoss with Craig-Hallum Capital Group. Please go ahead.
Anthony Stoss - Craig-Hallum Capital Group: Rick, if you could give us a sense on where your splits are between high-end smartphones, mid-range and low end and where you think that might be a year from now and also anything change in the competitive landscape?
Rick Bergman: So I think the first part of the question is kind of a segmentation question. I guess how much of the market we believe is high-end smartphone and how much is mid?
Anthony Stoss - Craig-Hallum Capital Group: No, just your revenue, kind of, where your expose right now, where you think it's going to be a year from now?
Rick Bergman: I am a little nervous here in debenture I guess because it's not actually well defined on what the segments are in the industry and there are some phones that kind of fit in to either one. We don’t really look at it as three segment market. By the way, we look at it as a two segment and at a high end and low end, it used to be a mid segment, but seemingly kind of moved away. So we're predominantly in a higher end of the market. So we think way over majority of our revenue. We hope to expand at a lower end, so we would expect that mix to change. It's the sales which are started to grow already in China and elsewhere, really start to pick up speed and especially in the second half of the fiscal year.
Anthony Stoss - Craig-Hallum Capital Group: Okay, and then anything new on the competitive front?
Rick Bergman: Well, we gave you an update a quarter ago where Synaptics started to call away from the competitors out there and I think that trend continued in this quarter. We will talk about our share in the marketplace for smartphone specifically next week at the Analyst Day. And if you will see there is a big gap between ourselves and any of the other players in the industry. In fact we probably can combine several of the next players to get to our share level. So to me, that’s the biggest dynamic, is the clear number one is now emerge with thankfully Synaptics and I think to further that is with the strength in the breath of our product portfolio that trend is going to continue forward.
Operator: Our next question is from the line of John Vinh with Pacific Crest Securities. Please go ahead.
John Vinh - Pacific Crest Securities: First question I had was, I was wondering if you could talk about the different puts and takes that went into your September guidance, clearly there has been a pretty significant inventory card exempting on Galaxy S4. You had taken a bit point of your guidance to down only 5.5% into the September quarter, what's offsetting that?
Kathy Bayless: Hey, John, looking at the September quarter, I mean that’s our best view at this point in time. What we talked about during the call was, if you go back and look at the June quarter, I mean we had very, very steep ramp. And when you look at the blend of the mix of the entire business in the September quarter, we have still very, very strong mix overall. So we are very pleased with that mix and the guidance we are able to give at this point.
Rick Bergman: John, as we said in the three kinds of growth elements, I talked about one was that we are going to continue to expand our customer opportunities and some of that will come into display this quarter.
John Vinh - Pacific Crest Securities: Got it, okay. And then my follow-up is, I was wondering if you could talk a little bit about China’s smartphone market, can you just update us on where your position in China’s smartphones and there has been a lot of concerns that market has already bit slowed down a little bit, can you just talk to us about what sort of demand trends are seeing over there?
Rick Bergman: Sure John, I’ll start and then Kathy wants to add anything. What we saw in the last fiscal quarter account of Q2, was it really went to, it was booming, there was no doubt about that. In fact we had open challenges to catching up with supply couple of times, just to meet some of the demand with the customers unexpected demand that popped up through the course of the quarters. So very strong marketplace over there, and obviously there is a lot of consumers. And as we look forward into this quarter, it still looks like a good opportunity for us. Suddenly there is some nervousness to get a little bit over heated. We tried to anticipate that in the guidance that we gave and based on the feedback that we have from the OEMs.
Kathy Bayless: Yeah, I’d just add to that, we talked about China for several quarters now and that we started really at the top tier. We are making great progress in the second tier in the emerging areas within China and every quarter this year as our revenue has increased, our percentage of domestic China business has grown nicely with our revenue increase and it’s actually picked up even more -- even picked up some in the fourth quarter and the June quarter. So we are really pleased with our participation and expect to really well there as we continue to go forward.
Operator: Our next question is from the line of (inaudible) with Lazard Capital Markets. Please go ahead.
Unidentified Analyst: Thanks for taking my question and congrats on the quarter. So it seems like tablet is becoming a bigger part of your mobile business, what percentage of revenue from mobile is from tablet and do you see it is growing faster than your smartphone too?
Kathy Bayless: We talked about the tablet business now for few quarters and what I have always said is question has been, is it material or it is material, and I said, no, it’s not material yet, but it is going very nicely. So, as we exit the last fiscal year, I would say that tablets grown nicely, probably getting close to somewhere around 5% of the revenue and we expect that to continue to grow nicely next year.
Rick Bergman: To answer last part of your question there, our smartphone business is now a big business. So, growth obviously is going to slow to a certain degree. So the tablet growth is absolutely at a faster pace than our smartphone growth.
Unidentified Analyst: And Kathy as a follow-up given the similar mobile and PC mix for next quarter, can you walk us through your, what's driving your gross margin guidance?
Kathy Bayless: Well, we've been as Rick mentioned a little bit earlier on one of the questions, if we look at the mix of the smartphone business, we've seen with all the wins in the flagship, I would say we've had a very, very high rich gross margin profile, and so again similar mix next quarter. Great gross margin may be just slightly softer depending upon the particular mix of SKUs within the quarter.
Operator: Our next question is from the line of Kevin Cassidy with Stifel Nicolaus. Please go ahead.
Kevin Cassidy - Stifel Nicolaus: Thanks for taking my question and congratulations on a great quarter. Can you say what the ASP trends are in mobile even if you look at last quarter and then compares to what your outlook for the first quarter?
Kathy Bayless: Kevin, I guess when I look at the ASP trends because of the fact that we're again as I mentioned on the last question, we're very high kind of overweight premium right now. The way I look at ASP is on an average basis, it’s going to continue to drop over the years.
Kevin Cassidy - Stifel Nicolaus: Okay but you are expecting those volumes would make up for the lower end.
Kathy Bayless: Oh absolutely we're expecting to see you know very, very strong unit volumes but again on an average basis I would just kind of look at it to be down a little bit as we go through the year.
Kevin Cassidy - Stifel Nicolaus: And would there be any other dynamic like in PCs as you get more touch in PCs, as ultrabook become a larger percentage of our overall revenue.
Kathy Bayless: Well, the again as we talked about before the touch screen from notebook PCs I mean basically we've included that in what we call the mobile section so all the touch screens in and of themselves, we've concluded that in the mobile portion of the business. So the PC portion of the business in and of itself will be TouchPads and the ClickPads and we continue to see nice adoption of our ClickPad business which is continued to give us fairly stable to little uptrend from an ASP standpoint.
Kevin Cassidy - Stifel Nicolaus: Okay, if I can just ask one another question, what's driving the change in the tax rate?
Kathy Bayless: In the tax rate, you know our tax rate is based upon the global tax structure and as the mix of the business you know between foreign operations, US operations, one and the same we see as some of the taxes we pay on a global basis are more fixed so as your profit increases your tax rate you know becomes a little more favorable.
Operator: Our next question is from the line of Rob Stone with Cowen & Co.
Rob Stone - Cowen & Co.: First Rick on PCs you mentioned that you're starting to see signs of a [pause] there. Will you be giving us some help going forward since you're putting PC, touch screens in with mobile and breaking that out little bit more so it's not mixed in with the smartphone and do you get a sense of how much that might contribute in the December quarter for example? Just roughly.
Rick Bergman: So in terms of financially breaking it out, no. Part of that is, keep in mind, we're getting these convertibles, tablets and notebooks and so on that they get very mixed in our actual product solutions. Sometimes they get used in , that same solution like a 7500 that we announced, is also used in a notebook. So we're tracking that type of trends. It could be a little bit of a challenge in which, eventual platforms as they end up in and as Kathy elaborated, in the general LTS category, tablets and touch notebook, we continue to be a nice growth rate from Synaptics and based into this channel in terms of announcement in the coming quarters.
Rob Stone - Cowen & Co.: My follow up is on your sensor integration. You mentioned working with a greater number of LCD OEMs to supply more customers. Can you say how many display OEMs you are working with now?
Rick Bergman: At this juncture we're pretty much work with all of them. So you haven't seen products from all of them come out in the marketplace but all the major LCD manufacturers, we have some form of an engagement. Some are on-cell some are in-cell, some are TDVI. As you can imagine, as we move to those display integration technology, we really have to have a close relation with them because there are certain timing parameters and so on and sort of the optical quality and so forth. So it's essential that we work very closely within they leverage our tools to be exactly have as well.
Rob Stone - Cowen & Co.: Great and just a quick one for Kathy you make several made several references to the percentage of business from China can you say what that was in Q4?
Kathy Bayless: Well that the term that I've used over the last year it has been, it's been around 10%, but little bit more than that, so its picked up a few points in the fourth quarter.
Rob Stone - Cowen & Co.: So 10% plus, thanks.
Operator: Our next question is from Rajvindra Gill with Needham & Company. Please go ahead.
Rajvindra Gill - Needham & Company: Yeah. Thanks and congrats as well. Just a follow-up from previous question, you had two very good quarters in which you've guided up significantly and in which the June quarter you [positively] announced and moving numbers up even further. And in September you are guiding essentially kind of inline with the street in which you see other semiconductor companies who are exposed to Samsung, the S4 actually guiding down thing a more of a steeper inventory correction, just wondering if you are, are you gaining share any new OEMs, or one specific OEM that you think is helping you is offset, which is already now well known, Samsung has inventory correction?
Rick Bergman: I’ll go back to China’s we answer gave earlier as well, the point at the three (inaudible) letters and they all play role in Q3 again obviously there is the potential for the overall market to slow down a little bit from our fiscal Q4 to our fiscal Q1, but there is other elements that come into play to offset that. And that's our leadership is allowing us to expand our footprint with the customer base out there, and once again we add new customers. The emerging markets we talk about china, who got reasonable presence here but there is lot of opportunity for us, so and in the Greenfield opportunities that we have been talking about, I kind of step back and say Synaptics is very interesting equals in the same condition that we were ahead of year ago smartphones, where Tablets and touch screens we have a great technology we have great tools, whether it get relationship with customers, now we just have to go out and secure this design windows and to me it feels very similar and I am hoping for result that we have in the smartphones to move up in the larger touch screens.
Rajvindra Gill - Needham & Company: And Kathy, the strategy as Rick mentioned is clearly to go after the China market potentially the tier two and below and what will be the impact on pricing and what will be the impact to gross margins, you think gross margins is kind of peaked at, not peaked but they've done very well, 50% last quarter and where you are selling more higher margins units it to high end smartphones, but clearly that's going to shift, so just wanted to think - ask you how should we think about the margin profile and as you kind of go after lower end of the market?
Kathy Bayless: Good question, Raji. As we get into as we said we're a little heavy weight on the premium side, the margin is been very rich for last couple of quarters, lots of growth opportunity mid range and entry levels, and from our margin stand, from an ASP standpoint I think as I already mention as you look at the average ASP throughout the year on the mobile side of the business, one of the reasons for the pick down a little bit in the ASPs we continue to go through the areas that we do see a lot of growth in the emerging market. From a gross margin percentage standpoint, I said the September quarter, it's going to be 49% to 50%. I mean that's just down slightly. If I would look at the year a little further out, I would say that would be, it could go down maybe another point or so. But and we do expect to see very, very strong continuing margins and growth throughout the year.
Operator: Our next question is from the line of Paul Coster with JPMorgan. Please go ahead.
Paul Coster - JPMorgan: The guidance for the year, so many guidance for year of course it's the outlook for the year calls for about 20% perhaps a little bit more growth Rick. And we saw excellent results into the start of the year and of course September quarter is generally seasonally strong quarter as well. So you can basically account for almost sort of that growth from these two quarters, meaning of course that the second half of the fiscal year, there may be no growth at all, do you agree with that, is that realistic outlook?
Rick Bergman: Well, Paul, as you know, we're in a pretty dynamic market and we kind of have to put the best that we can on a guidance based on those dynamics. And at this juncture, that's what we’re planning for from our fiscal year plan and that's our expectation. Obviously, we're certainly going to look what we can do for the second half or a lot of this design wins are still to be won or lost.
Paul Coster - JPMorgan: Okay. I mean, you are not suggesting that the growth has finished there even if the second half of the year becomes very tough. Looking longer term you still believe there is growth. So can you just sort of give us some sense of the longer term growth drivers?
Rick Bergman: While the longer term growth drivers, that's simple question in some way its A our technology and innovation lead that we have over our competition and the breadth that we have in our product portfolio. We've got I think small screen, large screen, discreet solutions, display integrated solutions, some of the key innovations that have occurred over the last 18 months if you just think about it, he was the first guy with Intel, with Sony Xperia to show the [clock] mode with Nokia Lumia in September, of course the Samsung Galaxy S4 and then in my prepared remarks I mentioned single layer On-Cell solution from Yulong. All those have happened in roughly the past 18 months and Synaptics has been well out in front of the industry and I continue to believe with the folks that we have working on products here we are going to maintain cycle to lead and continue to be the partner of choice with the leading smartphone OEMs.
Paul Coster - JPMorgan: Got it. And then Kathy, can you share with us customer concentration stats if there are any that you can at the moment?
Kathy Bayless: Last quarter we said we had one customer over 10% and we have one customer over 10% this quarter as far as the large customer last quarter that was 12% this quarter, its 25%.
Paul Coster - JPMorgan: Right, which certainly raises this question of is it getting more difficult for you to forecast given such heavy customer concentration?
Kathy Bayless: When we look at all, we have to look at all of the customers and we do expect that we are going to continue to have very strong growth within a broadening customer base and a number of products and the good news is that we do have a very strong breadth within the industry. So with strong growth rates in the industry for smartphones, with high growth rates in the tablet market and just starting now to adopt large touchscreen, we have lots of opportunity and we want to continue to cover the market broadly.
Rick Bergman: And Paul, as we get more mobile warnings that we can’t talk about this decision cycles in the industry and typically, Mobile World Congress launch, volume shipments, a month or two after that. Then they go into the decision phase for the next cycle in the summerish timeframe and make the decision, kind of starting now through the early part of the fall. It's unfortunately with those dynamics; and us giving projections today it makes a little more dicey in terms of how we see the entire year. So generally, we will provide more visibility as we get better visibility.
Operator: Our next question is from the line of Liwen Zhang with Blaylock Robert Van. Please go ahead.
Liwen Zhang - Blaylock Robert Van: Would you please provide us some update out of the products that you from the recent acquisition, where should we expect material revenue on these products?
Rick Bergman: Sure. So we made basically two acquisitions a year ago that we announced kind of as last call. One was from IDT which is a video display operation. We are really thrilled of that gain that was mostly around technology and people, bringing in really a world-class team into our organization just to work on high speed serial buses and timing controllers. We started to actually get them interesting design wins in that interface category and there will some decent revenue in this current fiscal year from that group. However, the real benefit is utilizing that team on our current touch products and some stuff that we have in our roadmap that will be real exciting that will kind of unveil over the coming months and years. So we are happy with how that went turned out. On the same touch as well, we brought in technology. Again, it was technology and just a small handful of people about a year ago and then we over this past 12 months have been working real hard from technology idea into our product and it’s a tough business, keyboards in terms of the quality levels and usability and everything else. So we continue to bring that to a level of manufacturing and you will expect to see in calendar ’14, when we expect to see some real results from screen touch product line.
Liwen Zhang - Blaylock Robert Van: And next one is for Kathy, your margin profile is right now is definite I believe, and is above your target range, are you ready to raise, change, revise the long-term margin profile?
Kathy Bayless: Well, I think the way that we are looking at it now I mean the mix of the business for touchscreens is higher than when we’ve had set those longer term target range profile, so for the near-term at least in the fiscal ‘14 time horizon we think that the gross margin range instead of 45% to 47% would be in 47% to 49% range and again it’s going to be dependent upon the mix and the mix of premium solution versus our touchpad success in that solutions, and we still we do expect sales over the long-term, I mean upper teens from non-profit standpoint and we are outperforming right now and obviously we want to continue to trying out performance models.
Operator: Our next question is from the line of Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson - Dougherty & Company: You eluded Rick to the back a lot that sort of to be determined on price of smartphone decisions, and it feels like both you and your competitors both seem very bullish about the other market share prospects to the 2014 marketplace models. You know that you are bullish but I wonder why do you think others might be as well it strikes me that someone is going to lose here?
Rick Bergman: Yeah, Charlie, I can’t commented on why the others are bullish, it’s kind of back to my earlier answer on the questions, I can point the innovation and how we lead in the marketplace in our position and the amount of resources and every another indication that Synaptics has a pretty big lead in that touch marketplace right now. So results over the past six months really speaks to themselves very high end smartphone flagship models and that same confidence that we are going to sustain growth as we move forward and we’ll win those, the majority of those and win the next time as well. I can talk to you about our approximate is unique and that’s kind of back to your generation obviously we are not sit and sell. So we hope we are bringing forward our next generation as well to help to win some of these flagship models. So we are pretty excited of not only about what we won but what we have in the pipeline alternative technology. And I think more importantly and I talked a little bit about this in the last earnings call is specs and products and everything are great, but it's also how you work with your customers and how you support them. And I think our team out there just does the stellar job in terms of their commitment and our customers know that. So when it comes down to a tie, Synaptics is going to win that business.
Charlie Anderson - Dougherty & Company: And then just to talk on to that specific step that you can, are there some features that you guys have maybe talked to us already about the (inaudible) utilized much in the market that you think are going to allow you to win this next cycle?
Rick Bergman: Well, the key one there that I can point to you of course, point or two that we talked to, one of them is the proximity feature. So right now robust, cover or proximity is only implemented by Samsung on the Galaxy S4 of course and it's a great feature. And you could imagine everybody else in the marketplace wants that as well. We work closely with Samsung starting a year ago and they brought for that feature and it's really, it's a one of the top five features that they have on that phone. And as you can imagine that's one area where that was really, really hard feature to do and I should plan the architecture early, you're not going to be able to have a robust implementation for the feature. So that would be one and then obviously the display integration. So you at Huawei I mentioned a couple of high end 6 smartphones that in-cell technology, is it all the benefit we've talk about in-cell technology you can bet, you'll see other OEMs also going forward in some of those of phones and very, very soon. And we think we have some pretty interesting announcement over the course of the next few months.
Operator: Our next question is from the line of Anthony Stoss. Please go ahead.
Anthony Stoss - Craig-Hallum Capital Group: You almost answered my question in regards to in-cell if it gives the sensor help frame the design seeing now going forward what percent maybe in-cell versus on-cell?
Rick Bergman: There's percentage in what kind of phones and so on. We are seeing a pretty heavy third stores on-cell. That's one way to address the lower end part of them the marketplace in China as an example. On-cell has a benefit in that you don't have the change the manufacturing process and the LCD manufacturers as much as you do with in-cell because in-cell is a little further from the screen and displaying noise and other things come into play there. So it’s a much more close relationship with the LCD manufacturers. So initially if any of them where you can Samsung and so on and Apple and if you take them out, the S4 and iPhone out of the equation it’s the in-cell volume got a little bit higher than the on-cell volumes and I would expect on-cell to quickly move to higher volume because of its applicability to lower end of the marketplaces and then over time though in the longer term longer horizon in-cell could be the ultimate solution.
Operator: Our next question is from the line of Brett Simpson with Arete Research.
Brett Simpson: Rick, I had a question for you on fingerprint sensors, it seems a lot of fingerprint sensors are now moving from swipe buttons to being integrated into the touch screen environment for smartphones. So, can you talk a bit about what this means for Synaptics and what role are you playing in the fingerprint sensor value chain for smartphones going forward?
Arete Research: Rick, I had a question for you on fingerprint sensors, it seems a lot of fingerprint sensors are now moving from swipe buttons to being integrated into the touch screen environment for smartphones. So, can you talk a bit about what this means for Synaptics and what role are you playing in the fingerprint sensor value chain for smartphones going forward?
Rick Bergman: Well, right now we don't participate in that marketplace and what I know about the solutions out there they haven't migrated to the screen. The actual active display screen in the rumors that you see out, it will be on the buttons, whether it’s the swiper area or maybe on the back of the phone. It's obviously in adjacent type of market, it’s touch, no doubt about it and so it is on a radar to investigate. When we look at like at the active display parts, so one of the real challenges there is you have the image through the glass and very, very fine detail and that is a non-trivial engineering issue to try to resolve, but you will probably not see for multiple years from now.
Brett Simpson: Okay, and maybe just a quick follow-up around Samsung. So you had a fantastic ramp up for these last couple of quarters and you mentioned earlier you benefited from features like hover that a lot of your competition couldn't address in time, but when you look beyond this next few quarters like in to 2014, Samsung is well known for churning suppliers. So, how do you think to position here and what are the features or requirements that's coming next year that you might sustain the differentiation when it comes to Samsung?
Arete Research: Okay, and maybe just a quick follow-up around Samsung. So you had a fantastic ramp up for these last couple of quarters and you mentioned earlier you benefited from features like hover that a lot of your competition couldn't address in time, but when you look beyond this next few quarters like in to 2014, Samsung is well known for churning suppliers. So, how do you think to position here and what are the features or requirements that's coming next year that you might sustain the differentiation when it comes to Samsung?
Rick Bergman: Yes, so obviously I am not going to expose what our next generation feature is. I think it works better like we did with the Galaxy S4, both for our Samsung, our partner as well from a competitors perspective to let them read about it in a press release and then react, rather than signaling what we're doing now and letting our competitors react to the industry leader. So the only thing I can do to answer to the Samsung question, I was expecting that type of question today. As I mentioned, our belief is we have closed partnership with our OEM customers and we diligently staff up our support resources, our tools to support them in our relations, they’re really understanding what their core requirements are. And then we got to go up and do a heck of lot of hard work and innovate and provide interesting technology, and so ultimately they are going to make a call and I believe we are better position than anybody else in the industry to support them in operationally, technically, feature-wise, innovation-wise, and so on to meet the gap is pretty substantial versus competition.
Operator: There are no further questions at this time. I’d now like to turn the call back over to Mr. Bergman for closing remarks.
Rick Bergman: Thank you everyone for joining us the call today. I also look forward to seeing everybody hopefully in one week when we have our Analyst Day here in our brand new facility. And with that, again thank you very much.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.